Operator: Welcome to the Universal Forest Products Incorporated First Quarter 2018 Conference Call. Hosting the call today are CEO, Matt Missad; and CFO, Mike Cole. Matt and Mike will offer prepared remarks, and then the call will be opened up for questions. This conference call is available simultaneously and in its entirety to all interested investors and news media through our webcast at www.ufpi.com. A replay will also be available at that website through May 19, 2018. Before I turn the call over to Matt Missad, let me remind you that yesterday’s press release and today’s presentation include forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ materially from the company’s expectations and projections. These risks and uncertainties include, but are not limited to those factors identified in the press release and in the filings with the Securities and Exchange Commission. At this time, I would like to turn the call over to Matt Missad.
Matt Missad: Thank you, Iola, and good morning, everyone. Welcome to our first quarter 2018 conference call, where we say, “good golly, Miss Molly, what a great quarter.” We’d like to think that it can’t rain on our parade, but this morning, we woke up in Michigan to a blanket of snow. But even a mid-April snow won’t dampen our enthusiasm. It’s just another hurdle we will overcome to reach our 2018 goal to be greater than before. Simply put, we need to produce our best year in UFP’s 62-year of history in 2018. And we are off to an excellent start. I’m very proud of our UFP family members, who are able to post new first quarter records for sales and profits. We had some tailwinds like the gain on sale of our Medley, Florida property and a lower federal income tax rate, yet we also had some headwinds like higher transportation and labor cost. Even without the tailwind items, we produced record results from operations. Let’s do a quick review of the quarter. Sales were a record $993.9 million for the quarter versus sales of $856.8 million in 2017. If only we had an extra $6 million in sales, because $1 billion has a much nicer ring to it. We also were encouraged with our overall 9% unit sales growth in the quarter. Earnings were a record $0.53 per share for the quarter versus $0.34 per share in 2017. Our earnings include both the headwinds and the tailwinds, I mentioned, and Mike will give you more details in his report. Gross margins were down 110 basis points from 2017. The bulk of the difference is related to the higher-average lumber market pricing. Gross profit dollars were up $10 million, and we’re in line with our unit sales increases. New product sales were $103.9 million, up from $86.2 million a year ago. We are slightly behind our target year-to-date, as sales in the north and parts of the west are behind schedule, primarily due to weather conditions. We still believe that we will be able to achieve our annual target of $450 million in new product sales. A quick review of the lumber market shows that pricing in early Q2 is still is trading at the higher levels we saw in Q1. Q1 of 2018 saw the composite lumber market as much as 20% to 25% above 2017, while the Southern Yellow Pine market was generally up 7% to 10% over 2017 numbers. Panel goods are off slightly from their recent levels and we believe the new capacity coming on line will further normalize pricing levels in the next two quarters. Rail service and truck transportation remain as wildcards to pricing, because of transportation equipment and service shortages. These factors will require us to carry higher levels of inventory to meet our customers’ needs. By market, as we look at the retail sales market, the repair and remodel market is still robust and continues to fuel our retail sales. Weather helped back sales in certain markets, but our retail unit sales growth was 10%, which included 7% unit growth attributed to acquisitions. The construction market is also solid for those geographic markets we serve. Unit growth in construction was 6%. And our industrial customers appear to be gaining strength as well, which creates opportunities for us to add more value. Unit growth in industrial was 11%, of which 4% was acquisition related. Our recently completed acquisitions are Spinner Wood Products, Great Northern Lumber, Expert Packaging, Silverwater Box and Fontana Wood Products, as well as our recently announced acquisition of North American Container Corp demonstrate our commitment to grow the industrial market. The annualized sales for these operations were approximately $120 million in 2017. In the new products arena, we are seeing very strong growth in our UFP-Edge product family. These interior decor items are on-trend with both smooth and rough side and shiplap options for accent walls, fireplace surrounds, entertainment centers and other design elements, such as furniture items. Coupled with our laminated and appearance-based panels, we continue to expand our interior, home and business product offerings. We also introduced our Deckorators porch flooring. This is a new product, which we will use for our transition market between the indoor and outdoor living spaces. We’re also offering custom-designed and manufactured high-end hardwood tables, both solid sawn and Edge glued. And these are being produced on a limited basis in our LX facility. And our Vault decking products, in addition to being the best decking product in the market, also make an excellent dark surface, since they don’t absorb moisture. Our international business continues to grow. In early April, we completed a small acquisition of Expert Packaging. They produced highly specialized product offerings, including special trading for animals. This acquisition continues to expand our new product offering in the Greater Sydney market and is our fourth acquisition in Australia. In Mexico, we added new operations in El Bajio region near Queretaro and in Monterey. We look to establish another operation in Guadalajara later this year. And while we prefer to acquire company with excellent people and operations, we must maintain our ROI focus, so if their valuations are too high, we will continue to grow with Greenfield-type locations. As an example, we’ve recently completed the purchase of land and building in Orange Barton County, South Carolina to better serve our South Carolina-based customers. This, coupled with a property, we expect to obtain via our acquisition of North American Container, will allow us to move all South Carolina customers production to the State of South Carolina, reducing freight cost and freeing up space in our North Carolina operations to facilitate their growth. It will also allow us to consolidate production in facilities, where it makes the most economic sense. We also expect to add facilities in Northern Nevada and in South Florida in the coming months. And we continue to make good progress at idX. They have consolidated production and are in the process of subletting two facilities. When the subletting is accomplished, it should reduce their cost by almost $5 million annually and it’s built into their current forecast. Their first quarter 2018 results were, in fact, slightly better than planned. In addition to the Greenfields, we remained actively in pursuit of acquisition opportunities. We have a healthy pipeline of target companies and are maintaining our ROI-based purchasing model. We are looking at targets, which grow our current markets and which add scalable new product opportunities. We plan to sell these new products to our customers through both their brick-and- mortar outlets or through e-commerce channels. And our e-commerce sales are growing nicely, and we are continuously adding more products to the portfolio. We have a special focus on targets, which help us broaden our ability to offer more packaging solutions and to better utilize mixed materials. North America fits that profile. Finally, we’re making progress on limiting our SG&A cost. In the first quarter, we met our expectation of keeping our percentage growth and SG&A cost below the percentage growth in unit sales. And our new internal model with allocating SG&A cost will certainly help us meet this goal long-term as well. Now I would like to turn the call over to Mike Cole to provide other details on our financial performance.
Mike Cole: Thanks, Matt. I’ll start out with the highlights from our income statement. Overall, sales for the quarter increased 18% resulting from a 9% increase in unit sales to go along with the 9% increase in selling prices, due to higher lumber market. Organic growth contributed 5% of our unit sales increase, while acquisitions contributed 4%. We believe weather had an impact on our organic growth this quarter and are hopeful that volume has made up in Q2. Breaking down our sales by market, sales for the retail market increased 19%, resulting from an unit increase of 10% and an increase in selling prices of 9%. The Robbins acquisition completed in March of 2017 contributed 7% to unit growth. Consequently, organic growth was about 3%. New products were prominent driver of organic with this quarter, and also helped to contribute an increase to our retail gross profits. Our sales for the industrial market increased 19% driven by an 11% increase in unit sales and an increase in selling prices of 8%. Acquisitions contributed 4% to unit growth. Organic unit growth was about 7% and was driven by adding over 300 new customers and 46 new locations of existing customers, as our efforts to improve market share continue to gain traction and customer demand continues to be strong. Our overall sales to the construction market increased 16%, due to a 6% increase in organic unit sales and an increase in selling prices of 10%. Within this category, our unit sales increased by 10% to manufactured housing, 3% to residential construction and 5% to commercial construction customers. Moving down the income statement. Our first quarter gross profit increased by $10 million or over 8%, which is in line with our increase in unit sales, as challenges associated with rising lumber prices, freight costs and labor rates were offset by a variety of factors, including acquisitions, which contributed $2.2 million of our increase. Other drivers include improved profitability on industrial sales, as higher lumber prices have been more effectively passed on our selling prices this quarter than they were last year. Solid organic sales growth to our industrial manufactured housing and commercial construction markets and new product sales growth, which gives us a good margin list especially on retail sales. Continuing to move down the income statement. SG&A expenses included $9 million of accrued bonus expense, up nearly $1 million from last year. Resulting from an increase in earnings from operations. The remaining core SG&A expenses totaled approximately $84 million compared to $79 million last year. This $5 million increase was driven by acquired businesses, which contributed $1.5 million to the increase, along with the $2.4 million increase in wages and related costs and $1 million increase in sales incentives tied to higher gross profits. Operating profit excluding the $6.5 million net gain on the sale of assets, we discussed in the press release, increased by $3.7 million or 11%. Likewise, EBITDA for the first quarter increased by $6.6 million or over 14%, as acquired businesses contributed $1.1 million to EBITDA growth. Overall, we were pleased to see our year-over-year profit for unit improved in spite of rising costs as our 14% growth in EBITDA surpassed our unit sales growth of 9%. Our effective tax rate this quarter was 22% compared to 33% last year, primarily due to the impact of the change in tax law and certain tax deductions related to the first quarter. We still currently estimate an overall effective tax rate of 25% for the year. Moving on to our cash flow statement. Our cash flow used for operating activities was $84 million for the quarter and was comprised of net earnings ad noncash expenses of approximately $42 million, offset by $126 million increase in net working capital since year-end, driven by the seasonality of some of the markets we serve in higher lumber prices. As I mentioned on previous calls, we measure our cash cycle to asses our working capital management, and we are pleased to report our cash cycle for the first quarter decreased to 57 days compared to 59 days last year, due to a decline in our days supply of inventory. Investing activities consisted of capital expenditures totaling $24 million for the quarter, including expansionary CapEx of almost $7 million. Net proceeds from the sale of our Medley facility totaled $35 million and almost $9 million was spent to acquire Spinner Wood Products and Great Northern Lumber. We also announced three additional acquisitions that have closed or expected to close in the second quarter, Expert Packaging, Fontana Wood and North American Container. Financing activities primarily consisted of $117 million in net borrowings on our revolving credit facility to finance seasonal working capital. We also repurchased $850,000 of our stock in Q1. As a reminder, our practice has been to buy back stock opportunistically when the price makes sense to offset stock-based compensation issuances. With respect to our balance sheet, our net debt balance was about $266 million compared to $246 million last year. Overall, our balance sheet remains strong and we believe we could add $250 million to $300 million in debt to continue to grow our business and still feel comfortable with our leverage and capital structure. As we discussed in our previous calls, our highest priorities for use of cash continue to be capital expenditures and acquisitions at this time. That’s all I have in the financials, Matt.
Matt Missad: Thank you, Mike. Now I’d like to open it up for any questions you may have.
Operator: [Operator Instructions] And our first question is from Ketan Mamtora with BMO Capital Markets. Your line is now open.
Ketan Mamtora: Good morning, Matt, Mike.
Matt Missad: Good morning, Ketan.
Mike Cole: Good morning, Ketan.
Ketan Mamtora: Congrats on a good quarter. First question, can you talk a little more about what you are seeing in the lumber markets? We started to see some easing in the southern prices, but the western rates remain strong. So can you just talk at a high-level kind of what you guys are seeing?
Matt Missad: Yeah. I think the market that is very, very product specific at this point. There are some products that are in short supply, there’s others where there is little more availability. So, it’s tough to kind of give a good overall view, but if we just kind of look at the Random Lengths Composite index and the Random Lengths Southern Yellow Pine index, they are trading fairly stably overall in a reasonably narrow band of $10 to $20 per thousand. So, at least right now, it seems that there is no demand that is somewhat equal to supply, there’s some shortages and different products like I said, but there’s also some other products, where it’s not as tight. So, I know that’s probably not helpful, Ketan, but the market is kind of what it is right now.
Ketan Mamtora: Okay, understood. And then just one other question, how much was - in rough numbers, was weather a drive on organic volumes in Q1 that you think you all can recoup in the second quarter?
Mike Cole: Yeah, that’s an excellent question. And I'm not sure I would have a great answer for you there. It's a little bit of a prediction. But we have expected a little bit more organic growth in the repair and remodel market in certain areas. And certainly, in the construction markets, were heavy, which the northeast is one of those areas, where we know that jobs would push back due to weather. So I can’t put a specific number on it for you, but those are the areas where I’d say the biggest concentration was.
Ketan Mamtora: Got it. And then you have also mentioned that in the first quarter, there was a pass-through of higher lumber prices was better than what it was in the first quarter of last year. What drove that? Have you all made any changes, or is it a mix, or the way contracts are structured?
Matt Missad: Yeah. I think there’s a couple of factors there, one is there’s a little bit of catch up in terms of the rapid increase in the market over the past several months leading up to this year. It was tough to kind of catch up on your cost pass-throughs. they’ve been a little more rationalized the last couple of months. The other part is, I think, the duty a year ago, and the anticipation of that caused a pricing spike that was tough to catch up to.
Ketan Mamtora: Got it. And then any update on the CapEx target for 2018. I know, last quarter you all said $85 million?
Mike Cole: Yes. $85 million is most likely right number.
Ketan Mamtora: Got it. Thanks, very helpful. I’ll turn it over. Good luck for the rest of the year.
Matt Missad: Thank you, Ketan.
Operator: And our next question is from Steve Chercover with D. A. Davidson. Your line is now open.
Steve Chercover: Good morning, Matt. Hi, Mike.
Matt Missad: Good morning, Steve.
Mike Cole: Good morning, Steve.
Steve Chercover: So, I guess, I’ll start kind of big picture, then drill down a little bit. But can you talk about the demand trend across your three business lines and is there a point where the high lumber prices start to actually crimps demand?
MikeCole: Yeah. I’ll try to take the first question. First, as we just kind of quickly as we look through the different markets, I would say, repair and remodel, which is kind of our focus for what we think the retail markets going to look like, that's high to mid-single digit kind of growth rate. So we feel very comfortable about that construction market. We typically undershoot what some other groups look at in terms of what the new housing starts are going to be, but we still see that as positive single-digit growth, maybe low-to-mid. And for us in the markets we serve, I think that’s a very realistic view. And then on the industrial side, we’re seeing an increase in strength there. So we still see us being able to outperform kind of durable goods manufacturing index and some of those other areas, because of what we're pushing for in those markets. So, the second part of your question, which is, is there a point at which lumber market pricing crimps or impacts demand. There certainly is and as with anything, we always look at affordability, housing units and the type of units that are built. We still believe there is a housing shortage overall. But obviously, the combination of interest rate increases and not just lumber, but all commodity price increases would certainly impact that demand. I think given the level of lumber market today, that's not the most significant driver in that equation yet. If it goes up another couple of hundred bucks of thousand, we definitely would see a difference in that viewpoint.
Steve Chercover: Yeah, and how the labor – I mean are you having difficulty tracking labor to your facilities and does labor become a governor on economic activity particularly homebuilding?
Matt Missad: Yeah. I think labor is one of those things that is certainly a potential throttle. And what I think, it helped do is, it helped keep the industry from perhaps overbuilding, it helped modify what normally happens in the marketplace. So, I think that’s actually helped prolong the growth, then it’s prevented overbuilding. So I think in that sense, it’s a good thing, certainly everywhere you go, people are just struggling to find good hardworking employees. We’re very fortunate to have the good hardworking employees that we do have, but trying to recruit and retain others is always a challenge. And that’s why we’re looking at spending more money on automation and other processes that make our jobs easier. So I think that would certainly help us as we move forward. Ironically enough, it appeared from the jobs report that perhaps there were up to 50,000 construction jobs that were lost in the prior month. I don’t know if that’s an aberration I would assume maybe, it’s weather related or something. So that was kind of an unusual quarter that I saw.
Steve Chercover: Got it. Okay. And I’m getting a little more granular. Packaging appears to be an attractive segment for you. So maybe you can just expand on what's making that so attractive? And what advantages you bring to the table?
Matt Missad: Yeah. I think for us, it’s the ability to design and engineer packaging solutions, which sets us apart. And for us, to be able to provide more value to the customer by utilizing different materials based on their design properties and our respective and relative costs that gives us a unique position. We’ve also observed over the years that there are a number of other products, which would be fairly straightforward for us to supply to our existing customer base. And as they look at consolidating the number of suppliers that they have, it's a very logical choice for us to be able to supply all of their packaging needs. So obviously, that's at the early stages, but we feel very comfortable and confident that, that’s a good area for us to grow in.
Steve Chercover: Is part of your secret sauce, I think what you used to refer to is your whole log capabilities or sheer abilities to use residuals from one process perhaps, trust manufacturing and take the little and end pieces and use them elsewhere, is that part of it?
Matt Missad: Yeah. Certainly, it’s a component of it. And again, we want to extend it to other materials and have that same kind of impact across our different business units.
Steve Chercover: Okay. And with respect to the acquisitions, are the margins pretty similar to what you’re currently generating in your legacy business?
Matt Missad: Perhaps, I’ll let Mike answer that?
Mike Cole: Yeah. Collectively, I think that’s a fair statement, pretty similar.
Steve Chercover: Okay. And then just one other quick question, I think you said you bought $150,000 worth of stock and that your objective is really to offset stock-based compensation. But in our view, the stock got pretty darn cheap in the first quarter, may be possibly cheap. Would you be more aggressive, if you thought that your own company was as compelling or more compelling with less integration risk than other opportunities out there?
Matt Missad: Yeah. Those are all good points, Steve. The number was actually $850,000 is what we bought back, not a $150,000 and in Q1, it’s difficult for us, because the trading window we have is so short. We released near the end of February and then we can’t trade in our stock two weeks before the end of the quarter. So it’s very short trading.
Steve Chercover: Got it. Well, thanks a lot for that clarification. I’ll get back in the queue.
Matt Missad: You bet.
Mike Cole: Thanks, Steve.
Operator: [Operator Instructions] Our next question is from Dan Jacome with Sidoti & Company. Your line is now open.
Dan Jacome: Hey, good morning guys. How are you doing?
Matt Missad: Good, Dan. How are you?
Mike Cole: Good, Dan.
Dan Jacome: I’m not too bad. Thank you. Just a couple of quick questions; first on the new products, it’s been pretty impressed by the momentum you’ve been seeing there over the last couple of quarters and sorry if I missed it, but did you comment on how the Deckorators is doing and then if you did, just wondering how much of the strength is coming from the Vault product. And then I think you mentioned in the past, you have like a new aluminum railing products, and then of course, the short wood. I mean, those are the ones I’ve been kind of trying to track, call to call. So, wondering if there is an update there?
Matt Missad: Yeah. That’s a great question, Dan. One of the things we’ve tried to call out in the press release is if you look at us in that $4 billion neighborhood of overall sales and you look at each individual new product, you would look at it and say boy, we sold million dollars of that product that really doesn't move the needle much. But that's why we need to keep pushing and we are for such a large number of new products. So individually, they may not be material, but the products that you mentioned are all doing well and the Deckorators family, although I’m not going to call out individual products and their individual sales, I would say the Deckorators family is doing an outstanding job overall of introducing new products and helping drive their growth. And I did call out the UFP-Edge as well and they're doing a great job too.
Dan Jacome: Oh okay, I missed that. All right, great. And then I had a question wondering about, I think, there has been a lot of consolidation recently on the distributor side of lumber products. I’m not sure if you have very high level of thoughts on that or maybe in some way, they might impact your business at all. Is anything there?
Matt Missad: Yeah. I think you might be referring to the BlueLinx-Cedar Creek combination.
Dan Jacome: Yes, I am. And there was another smaller one the day after. But I was just curious, yeah.
Matt Missad: Yeah. I think obviously, there’s changes happening in the marketplace all the time. It's a very dynamic situation. I know just being a pure distributor has been a struggle for a number of companies. And I think increasing their volume and scale will certainly help them. So, I wish them well with their product.
Dan Jacome: Okay, fair enough. All right. great, thank you.
Matt Missad: Thank you, Dan.
Operator: Thank you. And I’m showing no further questions. I would now like to turn the call back to Matt Missad for any further remarks.
Matt Missad: Well, I’d like to thank you, again, for joining us on the call this morning. We truly appreciate your interest in our company and believe that we have an outstanding team committed to driving performance and increasing the value of our investment. With more hard work, good execution and a reasonable economy, at the end of 2018, we hope to channel the late harry Caray and say “Holy cow, 2018 was better than before.” Thank you, and have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. You may now disconnect. Everyone, have a great day.